Operator: Good morning. My name is Patricia and I will be your conference operator today. At this time, I would like to welcome everyone to the Hamilton Lane Fiscal Year 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session.  Thank you. I would now like to hand the conference over to Mr. John Oh, Investor Relations Manager. You may begin the conference.
John Oh: Thank Patricia. Good morning, and welcome to the Hamilton Lane Q4 fiscal 2022 earnings call. Today, I will be joined by Mario Giannini, CEO; Erik Hirsch, Vice Chairman; and Atul Varma, CFO. Before we discuss the quarter's results, we want to remind you that we will be making forward-looking statements, based on our current expectations for the business. These statements are subject to risks and uncertainties that may cause the actual results to differ materially. For a discussion of these risks, please review the risk factors included in Hamilton Lane fiscal 2021 10-K and subsequent reports we filed with the SEC. We will also be referring to non-GAAP measures that we view as important in assessing the performance of our business. Reconciliation of those non-GAAP measures to GAAP can be found in the earnings presentation materials made available on the shareholder section of the Hamilton Lane website. Our detailed financial results will be made available on our 10-K as filed. Please note that nothing on this call represents an offer to sell or a solicitation to purchase interest in any of Hamilton Lane's products. Beginning with the financial highlights, for fiscal 2022 management and advisory fee revenue grew by 9%, while our fee-related earnings grew by 11% versus the prior year. This translated into full-year GAAP EPS of $3.98 based on $146 million of GAAP net income and non-GAAP EPS of $4.39 based on $235 million of adjusted net income. Lastly, our board has approved a 14% increase to our annual fiscal dividend to $1.60 per share or $0.40 per share per quarter. This now marks the fifth consecutive annual dividend increase since going public in 2017, each over 10% and with an average increase of over 18%. Our ability to consistently increase distribution to shareholders every year speaks for the growth and strength of our business.  With that, I’ll now turn the call over to Mario.
Mario Giannini: Thank you, John and good morning. A few quick firm updates beginning with the partnership that we recently announced. On April 5th, Hamilton Lane joined Ownership Works, a nonprofit organization that works with companies and investors to provide all employees with the opportunity to bill well through equity. Echoing our own belief and the importance of equity culture, the organization was created to support public and private companies transitioning to shared ownership models. By 2030, Ownership Works anticipates the shared ownership movement will create hundreds of thousands of new employee owners across the U.S. Hamilton Lane joins a consortium of prominent organizations, including Goldman Sachs, KKR, JPMorgan, the Ford Foundation, and the Rockefeller Foundation supporting Ownership Works and its mission. I will also be joining the Board of Directors on behalf of Hamilton Lane. Shifting gears here, I'll now move to an update regarding our office locations. The firm continues to expand our geographic footprint and we have opened an office in Zurich, Switzerland. We've been serving clients in that region for over two decades and the new office now provides a direct base from which to continue supporting and servicing our clients and build on our momentum in the region, particularly within the private wealth space. Our total office count now stands at 20. Lastly, before I move on to some results for the quarter, I want to take this opportunity to highlight the release of our 2022 market overview. Some of you may be familiar with our market overview, but for those who are not, it's an annual data driven review and analysis of the private markets powered by our own private markets database and in-house research capabilities. In it, we conduct an in-depth review of the key drivers of the asset class over the last year and provide our perspective on what may unfold in the markets going forward. This year, in addition to a narrative version of the market overview, we presented the report in a highly produced virtual format, which allowed us to reach our largest audience yet. Over 1,300 individuals globally joined the live release event with many more viewing the piece on demand. 65% of the attendees represented investors and the remaining 35% fund managers and industry thought leaders. For those who are interested in this year's market overview, please visit our website for more information. Let me now turn to the results for the fiscal year, which were strong across the entirety of the business. Our total asset footprint at fiscal year-end, which we define as the sum of our AUM, assets under management and AUA, assets under advisement stood at approximately $901 billion and represents a 25% increase to our footprint year-over-year continuing our long-term growth trend.  AUM growth year-over-year, which was 19 billion or 21% came from both our specialized funds and customized separate accounts. As for our AUA, similar to that of AUM, growth was from across client type and geographic region and came in at 164 billion or 26%. As we have mentioned on prior earnings calls, AUA can fluctuate quarter-to-quarter from a variety of reasons, but the revenue associated with AUA does not necessarily move in lockstep with those changes. Let me now turn it over to Erik.
Erik Hirsch: Thank you, Mario, and good morning, everyone. Let me begin with some commentary on our fee earning AUM. At fiscal year-end, total fee earning AUM stood at $49.1 billion and grew $7.1 billion or 17%, relative to the prior year. This stemmed from positive fund flows across both our specialized funds and our customized separate accounts. Taken separately, $5.3 billion of net fee earning AUM came from our customized separate accounts and over the same time period $1.9 billion came from our specialized funds. Our blended fee rate across both customized separate accounts and specialized funds remains steady. And just to clarify, last fiscal year, we've   large amount of retro fees coming primarily from our fifth secondary fund and it resulted in an elevated blended fee rate for fiscal 2021 relative to prior years and fiscal 2022. Given the limited amount of retro fees in fiscal 2022, our fee rates have trended back to more normalized levels of 55 basis points to 56 basis points. Let's now move to the two parts that make up our fee earning AUM and I'll start with our customized separate accounts. The earning AUM from our customized separate accounts stood at $30.9 billion growing 21% over the past 12 months. We continue to see the growth coming across type size and geographic location of the clients. As it relates to our existing client base over the last 12 months, more than 80% of the gross inflows into customized separate accounts came from this group. Moving to our specialized funds, growth here continues to be strong. Fee earning AUM from our specialized funds stood at $18.2 billion at fiscal year-end. Over the past 12 months, we achieved positive inflows of $1.9 billion, representing growth of 11% relative to the prior year. This growth stemmed from additional closes for funds currently in market, robust investment activity, and continued monthly net inflows into our evergreen platform. Let me expand on some of the drivers from this past fiscal year and I'll start with our evergreen platform. As a quick reminder, our evergreen platform provides private wealth channels and individual investors with direct and immediate exposure to the private markets by way of monthly subscriptions with semi-liquidity. For us, it represents perpetual fee earning AUM where we earn management fees on net asset value and the potential for carried interest on a deal by deal basis on every invested dollar. Our momentum here remains strong. We are expanding existing channels and adding additional channels around the globe. The pipeline for investments is robust and the existing portfolio has performed well. Last quarter, we reported that the platform had surpassed the $2 billion AUM mark and that we were one of only a small number of managers to have a platform of this size. The growth has steadily continued and the platform now stands at nearly $2.5 billion. Against an uncertain macro backdrop and a volatile public equity market, net inflows for our evergreen platform remain resilient and average nearly $135 million per month from January to April of 2022. We continue to execute well with the strategy and we remain very bullish on the future of this platform. Moving on to our fifth direct equity fund. During the quarter, we held the sixth close for the fund, which totaled $306 million of LP commitments. This close generated $1.4 million of retro fees for the quarter. More recently, on May 6, we held a seventh close for the fund that totaled approximately $72 million and will result in retro fees that be recognized in Q1 of fiscal 2023. Stepping back, the combination of these two closes brings the total amount raised for the fund to nearly $1.6 billion and at that level, we have essentially matched the size of the prior fourth fund and we will still be in market through October 2022. Next up is our annual direct credit series, we are currently raising our seventh installment of this series and the last quarter we announced that we held the largest first close in this product's history. The momentum for the current series has continued and during the fiscal quarter, we held a second close that totaled over $107 million of LP commitments.  Subsequent to that in the month of April, we held additional closes that totaled over $214 million and now brings the total raise for this current series to $531 million. As a reminder, our credit strategy has a relatively unique structure whereby we are continually raising and deploying dollars simultaneously and earning management fees on invested capital.  Therefore, it is less about targeting a set amount of dollars as you would traditionally see across funds with a multi-year deployment period and more about ensuring that we size the product in-line with the current opportunity set, which can lead to some size variability from installment to installment. We expect to be in market with this installment until September of 2022 and we are continuing to see strong demand. Let me now turn to an update on our secondaries platform. In February of 2021, we held the final close for our fifth secondaries fund and we raised $3.9 billion. That marked the largest fund Hamilton Lane has ever raised and highlights both the continued demand for the secondaries coupled with our ability to execute and deliver strong results for our LPs.  Investment pacing has been and remain strong and as such, we are back in market with our sixth fund. On  , we held the first close for the 6th secondary fund at over $611 million. It was a very strong start to the fundraise and we are very appreciative of all the support. We will remain actively in market for 24 months from that April closing date. We look forward to providing you with updates on future closes over the coming quarters. Lastly, let me introduce our newest strategic technology investment of our balance sheet and provide an update on an existing investment. I'll start with an update on our existing relationship with Tifin. As a reminder, Tifin operates several fintech platforms focused on meeting the evolving and technological needs of wealth managers, RIAs, and individual investors. Tifin’s platforms utilize the power of artificial intelligence and smart learning technology to provide tools, data and analytics to support the advisor or individual on their unique financial journey. On May 12, Tifin successfully raised a $109 million Series D round that included two new lead investors, Franklin Templeton and Motive Partners. The addition of these two investors validates the success Tifin has generated thus far and the opportunity it has in front of it. Hamilton Lane participated in the round and based on the valuation, our investment, inclusive of our investment in the Series D has already generated a 1.4x multiple in only six months since our initial investment. The unrealized gain generated from the round will flow through our financials next quarter. Next, I'll move to our newest balance sheet investment into a company called ADDX. ADDX was founded in 2017 and operates a technology driven platform aimed at providing access to alternative investment opportunities for the mass affluent and retail investor base in Asia. ADDX implements blockchain and smart contract technology to automate the issuance, custody and distribution of digital tokens that allows for investment minimums as low as $10,000. ADDX highlights our conviction around the attractive opportunity in providing private markets investments to the non-institutional channel. And with that, on March 29, we successfully partnered with ADDX to offer tokenized access to our global private assets fund on the ADDX platform. With this offering, Hamilton Lane joins managers such as Partners Group, Temasek and  , who have all partnered with ADDX in providing digital tokenized access to selected funds that they manage. Subsequent to the tokenized offering on May 24, ADDX announced its latest fundraise led by the stock exchange of Thailand. Hamilton Lane participated in this round and we now joined an investing group of leading institutions in the region such as the Singapore Exchange, Temasek and the Development Bank of Japan as investors. We view ADDX as attractively positioned within the increasingly fast growing digital security space and we look forward to providing updates on its progress in the future. And with that, I'll now turn the call over to Atul to cover the financials.
Atul Varma: Great. Thank you, Erik, and good morning, everyone. For fiscal year 2022, we achieved solid growth in our business with management and advisory fees up nearly 9% versus the prior year. Our specialized funds revenue increased slightly by $2.1 or 1% compared to the prior year driven primarily by over 1.2 billion of net inflows into our evergreen platform alongside over 1.5 billion raised to March from  a direct equity fund. For fiscal 2022, retro fees have been limited given that our latest direct to equity fund was turned on during this fiscal year relative to the prior year where we recognized $18.2 million in retro fees for our fifth secondary fund. We expect to generate additional retro fees as we hold subsequent closings for our latest direct equity fund. As a reminder, investments that come into later closings during the fund raise, a retroactive fees dating back to the fund's first close. Moving on to customer and separate accounts, revenue increased $9.3 million or 10%, compared to the prior year, due to re-ups from our existing clients, the addition of several new accounts and continued investment activity. Revenue from our advisory, reporting, and other offerings increased approximately $10.7 million, compared to the prior year, driven primarily by the near full-year impact of revenue associated with pre-existing funds managed by the 361 Capital team that we acquired in April of 2021. In addition, we saw a $3.8 million increase from our distribution management business stemming from robust activity in the IPO market along with strong public equity market performance throughout much of fiscal 2022. The final component for our revenue is incentive fees. Incentive fees totaled $53.7 million for fiscal 2022 and represented 15% of total revenues. Let me turn to some additional information on our unrealized carry balance. The balance was up 84% from the prior year even as we recognized $53.7 million of incentive fees during that period. The unrealized carry balance now stands at $1.2 billion. And just to remind everyone, we don’t control these positions and thus we don’t control the timing of exit. I’ll move now to some color on our earnings. Our fee-related earning were up 11% versus the prior year. As a result of the revenue growth discussed during the year along with growth in our margin. In regard to our expenses, total expenses increased $12.4 million, compared to the prior year. Total compensation and benefits decreased by $7.2 million. G&A increased $19.6 million, which included a full-year impact of rent expense associated with our new headquarters, along with expenses from 361 Capital and sales commissions. I’ll wrap here with some commentary on our balance sheet. Our largest assets continues to be our investment, alongside our clients and our customized separate accounts and specialized funds. Over the long-term, we view these investments as an important component of our continued growth and we'll continue to invest in our balance sheet capital alongside our clients. In regard to our liabilities, we continue to be modestly levered. And with that, we thank you for joining the call and are happy to open it up for questions.
Operator: Thank you.  Your first question comes from the line of Michael Cyprys from Morgan Stanley. Your line is open.
Michael Cyprys: Hey, good morning. Thanks for taking the question. Just want to come back to some of the commentary on the fundraising side. I was hoping you might be able to help   for us, how much of the fee paying AUM or asset base is from the U. S. pension fund community? That's the first part. And then second, just to, kind of help unpack some of the concerns that are out there in the marketplace, just given denominator effect, potential risks out there around some investors perhaps being over indexed to the private markets now given the downdraft in public markets, just curious what you're seeing there? What your perspective is on that? Is that coming up in conversations? And if so, what part of the asset owner community would you say is being more impacted there? And if you can share any sort of color or commentary around the pipeline for new SMA relationships and re-upping on existing ones?
Mario Giannini: Mike, it's Mario. Thanks. A couple of things. On the pension fund side, it's a relatively small amount. So, it's not a part of our business to which we're heavily levered or that represents a considerable amount there. So, it is one of many different features in that. The question on the denominator effect, it's an interesting one. I mean, clearly whenever the markets go down and the way they have now, you're in a tougher fundraising environment. I mean, it's just natural. The size of the assets decreases and people get a little nervous, but I think you have to look at the whole thing in context and say, what do investors do when markets go down? I mean, they can't convert everything into cash and say, I'm just going to wait until the markets bottom and then move into it. It's just not realistic. They don't do it. What they do is, they look at their assets and they say, where do I think I'm going to get the best performance over the next cycle, whatever that might be, whenever it starts? And at least historically and if you look at the data that tends to be moving into private markets whether it's equity, whether it's debt, infrastructure, take your pick, that has been what we've seen. The data suggests that that's what people do. I'll just relate an anecdote, we're talking to a very large fund, not a client of ours, and they said an interesting thing. They said, we know the mistake we made in 2008, 2009, we step back and we're not going to make that mistake this time. We're going to lean into the private markets. And that's just one example, but I think people have seen these cycles play out in 2000. They saw it play out in 2008. They saw it very quickly, but a little bit in 2020. And so what we're hearing is, people are pretty sanguine about what happens when markets go down and aren't really – we're not hearing much panic around, oh my gosh, I have to get out. I'm hearing more panic around, oh my gosh, what am I going to do? Which way am I going to address the private markets and where am I going to allocate that capital? So, right now, it just feels like people are looking at what they've seen in prior cycles and taking a pretty careful view about it.
Michael Cyprys: Great. Just any color or commentary just around the pipeline, maybe just how that compares today versus a year ago on the SMA side, new relationships, as well as existing ones potentially re-upping?
Mario Giannini: Yes, I mean the pipeline remains strong. I mean, again, I think one of the things that is important and we say it a lot and I know it's easy to say, but it's the reality. People look at it from a longer-term nature. And so they look at what they’re going to do in the private markets and they're not really looking quarter-to-quarter and they take it over a multi-year period. So, we're not seeing people go oh, I made this decision a year ago to invest in private markets where I want to look at investing, but I'm going to change that because of what's happening in the public markets today. So, we've not seen any dramatic shift in terms of people either pulling back their SMAs or people pulling back SMAs that they have in process. It's just that's not what we're seeing out there in the market.
Michael Cyprys: Great. Thank you. That's helpful. Just a quick follow-up question just on the Evergreen strategy. I was hoping you might be able to help update us on where you guys are from a build out on the distribution front in terms of how many platforms are you on? Are you on the warehouses yet? And maybe talk about some of the steps you're taking over the next 12 months to expand distribution of that strategy?
Erik Hirsch: Mike, it's Erik. I'll jump in on that one. I think as you've seen, we have been putting up incredibly steady fund flows and I think that's what we're trying to build for. We view this very clearly as a marathon, not a sprint. As you know, for our product, we want to make sure that we're really nicely aligning the fund flows coming in with the investment opportunities we can immediately deploy and not have cash drag. So, our strategy has been one of a big ground game across the globe, and I think we're executing on that incredibly well. We've added resources. We're continuing to expand our geographic presence. We're getting in more and more and more channels. And to date, as I said, we're sitting here at $2.5 billion without a warehouse relationship. We believe those are coming in the future, but we're not built to simply depend on that or the promise of that coming in the future. So, we like where we are. We think that this continued growth is exactly what channels, all kinds of channels are looking for. People want the confidence that you can handle an increasing size, scale, and deployment in order for them to eventually put you into their platform, whatever platform may be.
Michael Cyprys: Great. Thanks so much for taking the questions.
Operator: Your next question comes from the line of Ken Worthington from JPMorgan. Your line is open.
Ken Worthington: Hi, good morning and thanks for taking my questions. Maybe first, commitments to separate accounts were particularly strong this quarter. And I was hoping you could maybe give us some more color or flavor in terms of the nature of the strength that you saw in the March quarter, if it's more diversified or more concentrated that you've seen historically, again, any color would be helpful? And I would say in the first quarter of 2000 when COVID was really taking hold, we saw a pretty big slowdown in deployment in commitments in the industry,   sort of stopped and it seemed to have an impact on deployment, and we're again seeing M&A slow, but particularly in the case of your results, there was no apparent flow through from any slowdown in deployment flowing through the numbers. So, help me sort of understand how you would expect the challenging market conditions to impact fee paying AUM if these conditions were to persist.
Erik Hirsch: Thanks Ken. It's Erik. I'm happy to start with the first piece on the separate account and then Mario will jump in on the deployment. I think on the separate account, it's a little bit of what we've said in the past, which is, it can be a little bit seasonal, it can be a little bit episodic. I think generally we've seen more boards, more decision makers making those capital deployment decisions coming into end of year and thus sort of signing contracts at the beginning of the calendar year. So, I think that accounts for some of it, but I think the diversity of that installed base and the diversity of the new flows and we keep saying, well, 80% from the existing customers yes, but that means 20% even given a massive install base is still coming from brand new places. I think that speaks of the strength of the brand, the distribution relationships. So, I think not a lot to read into a particular quarter. I think the year-over-year trend lines remain very, very strong. With that, Mario can sort of talk to the deployment pieces.
Mario Giannini: Yes. Thanks, Ken. On the deployment piece, I'd say a couple of things. The first is 2020 was – there was a dramatic slowdown or stopping really. And I think it stopped because you had a situation, no one had ever seen before. You had a pandemic, you had economies closing, you had something no one really knew how to assess or how to deal with, and no one knew how to price anything at any level. And that was dramatic. In this environment, we are seeing a slowdown. There's no question because pricing discovery anytime markets move 15%, 20% the way they have. You're going to have a period of pricing discovery, but it doesn't feel to people like 2020. It doesn't feel to people as though we've never seen this before. And so, while things will slow down, I think there is a view that we have been through interest rate increases that lead to economic slowdown maybe the inflation rate is higher than it was this period to that period, but this doesn't feel like a new place where no one knows how to price anything. So, it will slow down and we would expect some areas more than others perhaps venture and some of the high flying growth areas will slow down more than others, but activity, we just don't see anything like what we saw in 2020. I think it will be more like, going back much further   in that period where it was slow, but there was continuing activity. I think you'll see that. So, we don't anticipate again, assuming things are – stay the way they are today. We don't anticipate that there will be a huge change in terms of that kind of activity. And again, the other thing to remember also is, there's a broader range, private equity, private credit, all of these markets cover a much broader range than they have in prior cycles. And so, if there's a slowdown, as I said, venture, for example, is going to be stronger in credit. So, there's just a better balance in terms of how portfolios are designed and in terms of our own reach into the market.
Ken Worthington: Okay, great. Thank you. And then to follow-up on Michael's on the evergreen product, we continue to hear more alternative asset managers launching more products in the wealth management channel? And I was hoping you could just maybe give us your thoughts on how you see intermediaries, sort of distinguishing these products? As I go through the selection process, if there has been sort of a selection process at this point, how are they choosing or what they're prioritizing when choosing Hamilton Lane's product over maybe some products from other firms who are increasingly entering these channels? And then how important is first mover advantage here? Is it really key to be the first product on the channel? And therefore, it's hard to displace you or do you see wealth managers having enough product where first mover is not really that important if you've got a great product?
Mario Giannini: Ken, it's Mario. A couple of things. I'll break it up into two parts, your question. The first part, there are a lot of entrants into this space. And I think for the wealth managers, you can probably the intermediaries can answer the question probably better than we can. And they're all going to be looking at it a little bit differently depending on the size of their platforms and what their client base is looking for, but generally, what we are seeing is that groups are looking for some diversified access into private markets. And by diversify that means they will want some credit, they will want some equity, they will want some real estate, they will want those kinds of things. And so in that environment, a couple of things matter, performance clearly. So, you have to have a track record. So, there is an element of having been at this for some period of time. It's hard to come from, I've never done a product like this to now, I'm doing it. So, there is your second question, a little bit of a first mover advantage in the sense that you have established yourself as having a track record, the brand matters, and again, the brand in terms of both that channel and in the markets generally and the familiarity with those kinds of products. And so to that second question, does the first mover advantage, I think in the shorter-term, it probably mean something to have the size and scale. We feel pretty good with where we are on that because as Erik said in his comments, we have a good sized platform in that channel. I think over time, like you've seen everywhere else, there will be more players on the platforms, but as with everything else, if you're there first and you have the size, the scale and the track record, you have an enormous advantage in terms of people being comfortable with your ability to execute on behalf of clients.
Ken Worthington: Great. Appreciate the comments here this morning. Thank you.
Operator: Your next question comes from the line of Alexander Blostein from Goldman Sachs. Your line is open.
Ryan Bailey: Good morning. It's actually Ryan on behalf of Alex. I wanted to come back to the secondaries business and both the commentary around fundraising and the strong investment pace. Just wondering if you could help explain what the sources of that strong investment pace are? And whether any of that has to do with the private equity crowding effect and the impact on cash flows for LPs? And whether that's causing them to look for more demand for liquidity?
Erik Hirsch: Hey, Ryan, it's Erik. I'm happy to take that. I think what you're seeing is one, as this asset class has matured, secondaries, sort of don't simply mean one thing. It could mean a single fund transfer. It could mean a portfolio. It could mean a GP led single asset. It could mean a lot of things. But what it also means is that it doesn't represent one return stream. And so, I think there's been a greater appreciation of how secondaries can be successfully leveraged inside of your portfolio depending on what you're trying to do with them. They've been a great driver of yield for example. So, I think the market is maturing, the market is growing, the number of problems that that asset class can solve is increasing. And I think that's what's driving a chunk of that deal flow and that volume because you're just deploying dollars in different ways. There's also a real correlation between the rise in the secondary market and the rise in the overall market for private markets as it gets bigger, you would expect that you would have more channels for liquidity. So, I think all those are kind of coming into effect here and it's driving good fundraising and it's driving strong dollar deployment, and I don't really expect to see any of those change. In today's environment, if we're sort of getting at, are we going to see a bunch of panic selling, I think the answer is. no. Off the back of Mario's earlier comments, you're not seeing people panicking period. I think the LPs have grown very sophisticated and are being very tactical in how they're thinking about their portfolio construction, their asset weighting. And so, we're not seeing them stop committing, nor are we seeing them turn around and trying to fire sale a bunch of assets tomorrow either.
Ryan Bailey: Understood. Okay. And maybe just a P&L question for the quarter. It looks like you're reporting another performance very well. I was just wondering if we could tease out any of the drivers there?
Erik Hirsch: Ryan, I missed the first part of that. What was the beginning in the sentence?
Ryan Bailey: Just a question regarding the quarter and the results of the quarter. It looked like reporting and although had done quite a lot better this quarter. And I was just wondering if there was anything there to tease out?
Erik Hirsch: Yes. I think there's nothing to tease out other than what Atul highlighted in his comments, which is in the other, which is you're seeing the full effect of the 361 fund revenue coming through. I think what I would say at a macro level is that, as we've kind of finalized the Cobalt LP acquisition now for some time and have really fully integrated that into our sales model, I think you're seeing us doing a better job of co-mingling both software service in cobalt with traditional back office service, bringing those two together and selling that as a more complete package. I think that has certainly helped us drive, kind of that reporting revenue a little bit higher.
Ryan Bailey: Got it. Thank you.
Operator: And your next question comes from the line of Adam Beatty from UBS. Your line is open. 
Adam Beatty: Thank you and good morning. Wanted to ask about the outlook for expenses and margin. Looks like for the fiscal year, the expense growth ticked down a little bit, the margin has sort of been ratcheting higher, looking ahead and I know Atul mentioned some of the one-off kind of items in G&A that might carry forward in the run rate, but just how are you thinking about both compensation and non-comp expense growth ahead? And what are the big factors that might drive that higher or lower? Thank you.
Atul Varma: Hey, Adam, it's Atul. Let me take that. So, if you recall, FRE margin, pre-pandemic was, I think in about low-40s, and as the pandemic, we – what we follow is a bit of a COVID bump to our margin. So, where we are with that as the travel starts to come back and from   come back, I know you're mentioning wage over increasing what we would say is, over time, the way we talk about margin increasing over time that still holds, but the COVID blip we saw in the last couple of years, maybe that doesn't – that  a little bit. So, maybe the margin   a little bit from here, but we don't think that's going to be a substantial change.
Adam Beatty: Okay. And in terms of comp growth, should it be similar to prior years?
Atul Varma: Yes, the comp growth is, I mean, I think you guys know where the market is. I think we're increasing everywhere. We're in growth mode. We're hiring a lot of people. So, comp growth is going to be in-line with what the industry is seeing and what we're seeing.
Adam Beatty: Got it. Okay. Thank you. And then just turning to the specialized funds, kind of bigger picture, thinking about revenue growth, you mentioned fee rates are coming in pretty stable. The year-over-year just finished was a little noisy just because there were so many catch up fees in fiscal 2021, but looking ahead, as we look at kind of the end of period point-to-point growth and then a lot of the transparency that you've given around expected fundraising this year, should we think about fees in that segment, kind of going up according with the AUM growth? Thanks.
Erik Hirsch: Sure, it's Erik. I can take that. I think what you've seen in the specialized fund world, fee rates have just been very steady. This is not a question of someone has a super cheap product and someone has an expensive product. You either have a good product with a good track record, good brand, good deal flow, etcetera and you can execute in which case you're allowed to kind of play the game or you don't have that. And so I think that's the reason why you're seeing fee rates there stay steady and we expect that to remain the case. So, for us, specialized fund revenue is going to be really a factor of what the specialized fund AUM do. And I think for us, you're seeing that we've got a really good track record here of not only introducing new products into that world, which we continue to do and are looking to continue to do, but we're expanding the products that we already have. So, I think our outlook there continues to be strong and we are very positive.
Adam Beatty: Excellent. Thank you, Erik. Appreciate it.
Operator: Thank you.  Your next question is from the line of Finian O'Shea from Wells Fargo. Your line is open.
Finian O'Shea: Hi, good morning. Question for the Credit Series franchise, do you see an eventual opportunity to upstream sort of into a regular way in-house managed direct lending product line?
Erik Hirsch: Sure. It's Erik. I'm happy to take that. I think our business to date has really been one where we are leveraging our partnerships with other fund managers. And I think that continues to be our focus today. I think the credit space is an area where we have sometimes done some co-leading of transactions, but I think we're mindful that one of the real benefits that we have is that we go back to an earlier question around deal flow and pacing. One of the reasons why our pacing stays so consistent is that we are in the beneficiary of seeing deals from lots and lots and lots of partners across all different shapes and sizes and geographies. That's one of real powers of this platform and that power flows into our evergreen product. We're able to be, kind of that one stop solution provider where we're able to give you access to credit and equity across size and shape and geography, etcetera. And so, we think that model actually is incredibly powerful and it's even more powerful in a market like this.
Finian O'Shea: Helpful. Thank you. And just a follow-up for – in regards to the SPAC, can you talk about the deal environment today for that form of execution for a vehicle to bring a buyout vehicle? And then is there any financial impact, if the vehicle lapses? I think it's in next January, correct me if I'm wrong on that, but just any update you can provide there?
Erik Hirsch: Sure, it's Erik. I'll stick with that. I think we all need the same things. The SPAC market has been severely hampered by, sort of the latest regulations. And so for us, we've always said that we were trying to not be a one-off SPAC manager, but we were trying to make the SPAC a real business line. I think that's still our focus, but I think that also means that we need to be incredibly thoughtful and selective to make sure that whatever we do, if we're able to do anything in this market environment is something that, sort of sets us up to be ongoing. We continue to believe that SPACs are an important tool. We think that SPAC should continue to exist. We think that they sort of serve a market niche. I think we would also say that the SPAC market got kind of out of hand with kind of the low quality of manager that was able to raise them. We think we're a real difference there. And so, I think at a macro level, our focus and our philosophy hasn't changed. We're focused on trying to make that a business line and to bring someone with our reputation and high caliber deal flow to that market. So, we continue to hunt. We continue to be focused there. Whether something happens or whether the market allows something to happen I think remains to be determined, but as you know, we have until next year to, kind of cross that bridge, and so right now, we're just focused on what's there for us to potentially do. 
Finian O'Shea: Great. Thanks so much.
Operator: We have a question from Adam Beatty from UBS. Your line is open.
Adam Beatty: Hi, again. Thanks very much for taking the follow-up. Appreciate it. Just a clarification. I'm not sure if I misheard or what exactly, but earlier you mentioned a little bit about pension exposure and the way I heard it was, sort of that that was kind of minimal or what have you, could you just clarify that or I apologize, but just to make sure I heard it correctly about your pension exposure in the United States? Thank you.
Mario Giannini: Yes, Adam, it's Mario. The question, at least as I understood was in relation to specialized funds on the exposure there. And in that area, the exposure is not a material part of the overall fund exposure we have there in terms of clients. But certainly, if you're then talking about the AUA assets, that's very different, but I think the question, if I heard it right, was related to the specialized funds.
Adam Beatty: Okay. Yes, that's right. Okay. Appreciate the clarification. Thanks very much.
Operator: Thank you. And there are no further questions at this time. Mr. Erik Hirsch, I'll turn the call back over to you.
Erik Hirsch: Thank you very much. We appreciate the time. Wishing all of you a good Memorial Day celebration. And again, we appreciate the support. Thank you.
Operator: This concludes today's conference call. You may now disconnect. Goodbye.